Operator:
Operator instructions.:
Lee Roth, Investor Relations: Thank you, Bri, and good morning everyone. This is Lee Roth, vice president of investor relations at KCSA Worldwide, Investor Relations counsel for Saifun. With me on the call today are Dr. Boaz Eitan, Chairman and CEO of Saifun; Kobi Rozengarten, President; and Igal Shany, CFO of Saifan Semiconductors. By now you should have all received a copy of our Q4 and year end 2006 earnings press release which was issued earlier this morning. If you've not received it please refer to our website at www.saifan.com. Before we begin today I'd like to remind you that the information on this conference call may contain statements relating to current expectations, estimates, forecasts and projections about future events that are forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These forward-looking statements generally relate to the company's plans, objectives and expectations for future operations and are based on management's current estimates and projection, future results or trends. Actual future results may differ materially from those projected as a result of certain risks and uncertainties. For a discussion of these risks and uncertainties, please refer to the risk factors in the company's most recent annual report on form 20-F, filed with the U.S. SEC on April 11th, 2006. The forward-looking statements are made only as of the date hereof and we undertake no obligation to update or revise such forward-looking statements, whether as a result of new information, future events or otherwise. With that said I’d now like to turn the call over to Dr. Boaz Eitan. Boaz, go ahead please. 
Dr. Boaz Eitan, Chairman and CEO: Thank you, Lee. Good day, everyone, and welcome to our Q4 call. Before I turn the call over to Igal for a review of the financials, I would like to share with you a few of the highlights. In Q4 2006, we met our projections and we advanced on several strategic points. We continued to make progress with our license fees in bringing to the market a broad range of NROM-based flash memory products which address each of the primary flash markets, namely code, data and embedded. Sales of NROM-based products in 2006 approached $1.3 billion. We extended our relationship with SMIC with respect to the design of the Saifan 4-bit Quad NROM. Spansion continued to make progress toward the commercialization of its first data flash product and announced a new product line. This product line is based on our Quad 4-bit per cell technology. We progressed well with our license fees, particularly in Japan where our license fees are developing embedded solutions. With this, I pass the call over to Igal for a review of the financials. Igal? 
Igal Shany, Chief Financial Officer: Thank you, Boaz. Turning to our financial highlights, please note that we are referring to the non-GAAP information presented in our press release, which is available on our website. Revenues for Q4 were $14 million compared to $16.3 million in Q4 2005. Our revenues are made up of licensing and service revenues as follows. Licensing revenues for Q4 $9.4 million. Licensing revenues represent 67% of the total revenue this quarter. The majority of the licensing revenues this quarter were derived from Qimonda, Spansion and Macronix. In 2006, we have seen an increase in our royalty revenues as a percentage of the total licensing revenues. For FY 2006, royalty revenues were 30% of the total licensing revenues. Service revenues for Q4 were $4.6 million. Service revenues represented 33% of the total revenue this quarter. This quarter, our top service customers were Spansion, Sony and Qimonda. At this point, I wish to remind you that the FY 2006 and Q4 2006 include license fees and service revenues from Qimonda. As was previously announced, as of Q1 2007 we do not expect to receive from Qimonda any license fees or service revenues and to receive only limited amounts of royalty revenues. Gross margin for Q4 was 73%. Gross margin on our service revenues was 17% and this quarter service growth margins were negatively affected by profitability adjustments for one specific turnkey project caused by additional resources required for its completion. Operating expenses for Q4 were $4.5 million or 32% of revenues, which includes 20% R&D and 12% SG&A. R&D together with cost of services in Q4 were $6.6 million or 47% of revenue. This is compared to $5.3 million or 32% in Q4 2005. The increase in Q4 in R&D together with cost of services resulted primarily from the recognition of the first costs related to meeting [inaudible] in one of our service projects. Operating income for Q4 was $5.7 million or 41% of revenues compared to $8.7 million in Q4 2005. Net income for Q4 was $8 million or 57% of revenues compared to $9.9 million in Q4 2005. Our non-GAAP EPS for Q4 2006 was $0.25 per diluted share. Our full year non-GAAP EPS was $1.22 per diluted share. Stock-based compensation for Q4 which is included in the GAAP information was $1.6 million. Total shares outstanding at the end of Q4 was 31.5 million shares. As to our cash flow, net cash provided from operating [inaudible] was $31.8 million for the year ended December 31, 2006. This represents 91% of our GAAP net income for the year ended December 31, 2006. Finally, as of December 31, 2006 cash in marketable securities and short-term investments was $231 million. Now I would like to turn the call back to Boaz. 
Dr. Boaz Eitan, Chairman and CEO: Okay. Thank you, Igal. As we discussed on our Q3 conference call, the decision by Qimonda to scale down its flash memory production presents a significant challenge for Saifan and it will affect our results in the near term. However, I believe we remain well positioned for a long-term success. In recent weeks, several announcements underlined our confidence that we are on the right track, that we have the right technology and that we have the ability to execute. First, this quarter, two of our license fees and now their intention to bring to the market their first data flash product in the first half of 2007. Spansion just recently announced a complete line of products from 256Mb to 2Gb based on our Quad NROM will go into production in Q1 2007. Spansion's MirrorBit products which are based on NROM accounted for over 60% of Spansion's sales last quarter. SMIC will be introducing their first 2Gb NROM based data product early this year. In addition, we are working together on the development of an 8Gb data flash product based on our Quad NROM, which is expected to reach the market in 2008. Second, at the recent IDM[?], another major flash manufacturer announced its belief that tracking technology will replace floating gate in the future generations of flash. This follows a similar announcement earlier in the year from the market share leader in data flash. We are viewing this as a further validation of our technology and as the pioneers of tracking, we believe this sentiment presents great opportunities for Saifan. In addition, we are making good progress in the embedded market where our technology offers a fast acting, low power consumption with increased security. This year, NEC became the third Japanese manufacturer to license our technology and we have received excellent reports on the progress of projects at the other two Japanese licenses. As we look into the future, I believe that our activities with current licenses and the growing trend towards tracking solutions well positions us for the long-term growth. In terms of our outlook for Q1, we expect revenues in Q1 to be in the range of $9.5 million to $10.3 million. This forecast is affected by the announcement decision of Qimonda to phase out its NROM activity whereby no license fees and no service revenues are expected. Operating profit margin excluding stock-based compensation is expected to be between 20% and 25%. Finally, as mentioned in our press release earlier today, Kobi Rozengarten, our president, will be leaving Saifan in July. After nine years with the company, Kobi expressed his wish to pursue other goals and to spend more time with his family. I would like to take this opportunity to thank Kobi on behalf of everyone at Saifan for his countless contributions over the years. Kobi was instrumental in building Saifan into a leader in the NVM technology and he helped position the company to reach the next stage. It has been an honor and a pleasure to work closely with Kobi these last nine years, both professionally and personally and I wish him the best in whatever he chooses to do. Kobi, would you like to say a few words? 
Kobi Rozengarten, President: Thank you, Boaz. My nine years at Saifan have been a wonderful, rewarding experience. I am thankful for the opportunity I have had to lead Saifan through a very exciting period. It has been a privilege to work with Saifan's outstanding management team and employees in developing what I believe is a very strong foundation for its future. I will stay involved with Saifan as a member of its board of directors and look forward to contributing to the strategic direction of the company. 
Dr. Boaz Eitan, Chairman and CEO: Okay, thank you everyone. I would like to open the call to your questions. Operator? 
Operator:
Operator instructions.:
Q - Tim Luke, Lehman Brothers: Thank you and we wish you very good luck, Kobi. With respect to the revenue guidance, I was wondering if you could give us some sense of how you see the mix there moving forward in terms of the customer set and who the primary customers were in terms of the fourth calendar quarter. It also looks as if your operating expenses were lower than one might have expected in Q4. Could you give us some color on that and how we should think about modeling some of your investments in R&D and SG&A going forward? 
A - Igal Shany : As to the Q4 break up of revenues for license and services, as we mentioned on the licensing front, Qimonda, Spansion and Macronix were our top three licensing revenue contributors and on the service revenues, we had Qimonda, Spansion and SMIC. As we look forward to next year, obviously we do expect that Spansion will remain a significant service customer for us and also a licensing contributor for us. SMIC will need to go into production next year and therefore we do expect to start receiving royalties from them starting in 2007. As to the service components with SMIC, we have just signed up a new service arrangement with them, so going forward if you do expect that the service activity with SMIC would go up, I think it makes a lot of sense. As to Qimonda, obviously as we indicated in the past, we do not expect them to be any contributor on the service revenues starting 2007 and we do not expect to see from them any license revenues. As to the operating expenses, I think that if you look on the SG&A we remain pretty much the same level as we had in the previous quarter. As to the R&D expenses, if you combine both R&D and cost of services, you will see that we are pretty much keeping the same levels over the last few quarters. There is a plus or minus $200,000 but we are keeping the same level. I don't see any reason for this to go up significantly in the near future. 
Q - Tim Luke, Lehman Brothers: Just to clarify then, with respect to Q1, we might expect the gross margin percentage to remain broadly where it has been in Q4 with a similar trajectory in R&D? 
A - Igal Shany : Operating expenses I imagine should not go significantly high - as to the gross margin, I think that if you make - it should be the same ballpark, yes. 
Q - Tim Luke, Lehman Brothers: Lastly, for Boaz, if you could give us some color on Quad and its development and what some of the key milestones may be as we move through the year, that would be very helpful. Thank you. 
A - Dr. Boaz Eitan: I think on the 4-bit I think that the most important and significant obvious result is the fact that there is a clear announcement of the product line that is going into production now. So this is an indication that we have met all the requirements to make out of an idea a real product line and I think that this is very significant for the 4-bit. Moving forward, I am very certain that you will start to see more and more 4-bit products as we projected, with ever improving densities and performance. I would estimate that this will become our main product in data flash. Our anticipation for this coming year is to invest and to bring to the market an advanced solution based on the 4-bit and to enhance the 4-bit capabilities with some system level features. So we are very confident as you can hear that the 4-bit is what will be our focus for the coming years. 
Operator: Your next question comes from Daniel Gelbtuch, CIBC. 
Q - Daniel Gelbtuch, CIBC: Kobi, sorry to see you go, I wish you good luck. With regard to Spansion, what do you see is their intention as far as going forward and maybe going into higher density products? It looks like right now they're looking at 2Gb as being the biggest. Do they have any plans on going to 8Gb and 16Gb? What geometry are they at right now? 
A - Dr. Boaz Eitan: You know, it's not our position or intention to be giving you guidelines for Spansion's decisions. We can tell you only what they have announced on this family of products, the 4-bit are based on 90 nanometer and the rest - let's leave it for them to tell you when they're going to move to different technologies and different densities. 
Q - Daniel Gelbtuch, CIBC: With regards to the market leader who you mentioned, who has already stated their intention to go to cell tracking, CTF, obviously they're not using your technology right now or your flavor of it. What are they using, what are the disadvantages and advantages of using your technology over theirs, and do you anticipate that they're going to have to abandon their course and maybe switch over to Saifan as time goes on? 
A - Dr. Boaz Eitan: So the solutions that are being presented in the marketplace are what has been known in the industry for the last 40 years as 'Dono'[?] and this is a technology which is tracking based and again I would not go into the technicalities. The main difference from what we are doing is that it's inherently a single bit solution. There are no two physical bits and hence it's a technology that has to make two bits and I think it's out of the question to make four bits. I think as we've explained it many, many times, the going into trade thing in this day and age, even if they're not going to use exactly our technology, we believe that they will have to attach our technology to make it work. What are the possibilities that they will move into our technology? If you are asking me as a person, I'm sure that's the right thing to do. If you're asking me what are their intentions, I really wouldn't even comment and would not become a professional journalist that explains what other people are doing. That's as far as I'm willing to go. 
Q - Daniel Gelbtuch, CIBC: With regard to Spansion, or what SMIC's making right now or will be making right now on the Quad bit front, how does write cycle compare to comparable flowing gate products? 
A - Dr. Boaz Eitan: The 4-bit solutions that will be introduced by SMIC will be MLC-like performance in terms of reliability. 
Operator: Our next question comes from Pranay Laharia, Deutsche Bank. 
Q - Pranay Laharia, Deutsche Bank: Kobi, good luck, enjoy your break if you're taking one. So, Boaz, just to follow up on that question, you did mention 4-bit performance expectations for what SMIC will launch. How about the product expansion launching - are you able to comment on the rewrite cycles on that? 
A - Dr. Boaz Eitan: I know all the details, but I'm not sure what Spansion already put out there in the marketplace, so I will not comment on theirs. With Spansion, since we are working closely with them, we have - this is a first family of products on the 4-bit and I'm very certain that you will see the performance and everything else reaching the same statement I've made on SMIC. Will it be with the first product line or the second product line, leave it for them to announce. 
Q - Pranay Laharia, Deutsche Bank: Okay. Then, Igal, if you can just comment, is all the revenue decline in Q1 related to Qimonda? Or is there anything else going on as well? 
A - Igal Shany : Primarily it's the Qimonda effect that we are not seeing any license fees or service revenues starting Q1 and that's a good amount. 
Q - Pranay Laharia, Deutsche Bank: But you probably have some offsetting impacts on SMIC service revenues kicking back a little bit? 
A - Igal Shany : Yes. There are some. 
Q - Pranay Laharia, Deutsche Bank: I know you haven't in the past, but are you able to give us some sort of breakdown for revenue guidance between service and licensing? 
A - Igal Shany : We have not done it in the past, I will not do it now. I don't see why this should go differently to the previous few quarters that we had. 
Q - Pranay Laharia, Deutsche Bank: Are you willing to take a stab at what your expectations are for total NROM based data flash revenues for the industry in 2007? I'm not asking you to disclose specific customer plans, but just to talk on an aggregate basis if you're able to. 
A - Igal Shany : Not in terms of numbers, but in terms of dynamics. Obviously the Qimonda - most of it is out next year. This is 2007. But what's happening is that SMIC - we do expect them to go into production and therefore we do expect to start seeing royalty revenues from them. From Spansion to date on the licensing side, what we have seen basically is code-related revenue. Now with the introduction of the 4-bit cell family of products, we do expect to start seeing royalties so to that end, we do start seeing in this year - 2007 - more and more royalties coming from the data flash side from SMIC and Spansion Quad. 
Q - Pranay Laharia, Deutsche Bank: Igal, can you remind me whether you start paying taxes on operations in 2008? 
A - Igal Shany : We do not expect to pay tax on operations in 2008. 
Q - Pranay Laharia, Deutsche Bank: Okay. Lastly, I'm hoping to get some color on two things on the call that you've probably disclosed in the SEC filing but I just want to get a head start on it. One is geographic distribution on a full year basis, you said you will provide it on a full year basis. The other is the sort of customer concentration for greater than 10% customers for FY 2006. If you can give it here that would be great. 
A - Igal Shany : If you followed our latest announcements over the quarters and I know that you have done so, we've said that the Qimonda shares does not tremendously change over the year in terms of percentage. If you recall in 2005, total revenues of Qimonda was about 43% so this year was pretty much the same level. Spansion percentage went up, went above 20%, close to 25%, and the number three customer for us for this year was SMIC. 
Operator: Your next question comes from Nimal Vallipuram, Hapoalim Securities USA. 
Q - Nimal Vallipuram, Hapoalim Securities USA : Good luck to Kobi. A few questions here, first for Igal. Igal, can you give us - you might have said it at the beginning of the call - can you give us a split between service and licensing in 4Q06? 
A - Igal Shany : Yes. It was 67% to licensing, 33% to service revenues. 
Q - Nimal Vallipuram, Hapoalim Securities USA : My next two questions are longer term. Just for Boaz, if you look at the NROM market or the flash market, on the code side there's always some sort of a speculation, who is going to spin off their business and who is going to acquire someone's business. Without naming names here, if you find some sort of a different position in the NROM market, Spansion and another entity, either it is private equity invested, Intel no flash or Intel plus SDM no flash entity, would any sort of action like that help or not help your business in terms of getting potentially another customer for the code storage market? 
A - Dr. Boaz Eitan: The spin off or the private acquisition of some of the flash businesses of some of their players seems to us an opportunity for a future code licensing and in our opinion, there are things that we can do positively to enhance our capability and to shorten time to market provided something like this will happen, so that we will be ready, there is an entity like this and once this entity is fully operational. We view it as an opportunity and we let things unfold as they unfold. We'll know more once they have. 
Q - Nimal Vallipuram, Hapoalim Securities USA : My last question is - I'm not sure it has any relevance to flash manufacturing. I'm just curious that with the announcement by Intel and IBM having some break through, using a high K material for 45 and beyond, does it give any or does it have any ramification on the lifeline of floating gate or would it help or not help the NROM technology going forward? 
A - Dr. Boaz Eitan: First of all, as you have indicated, this announcement is related to logic processes and as such it will have no impact on prolonging the life of floating gate whatsoever. In terms of NROM, it's not a necessity or essential but from what we know and we have followed this for many years in the conferences, this can be integrated together with the NROM, it's our technology in terms of the processes that are nominal to this decision by other companies. So we don't see it as enhancement to the density of our solution or at least embedded solutions in the future. We believe that the integration into such processes will be possible. 
Q - Nimal Vallipuram, Hapoalim Securities USA : Going in 2007 and 2008 - I'm not asking you to give any guidance as far as your customers are concerned, except Spansion and SMIC, which you have discussed extensively on the call, if you take your embedded customers, Matsushita, Sony and NEC and also [Talbot Semiconductor?], do you see the embedded-related revenues in 2007 go up as a step function compared with 2006? Or is it going to happen beyond 2007 into 2008? 
A - Igal Shany : First of all, just to make a reference, our target is currently selling in the embedded markets and as time passes, we do expect that our market share and therefore our revenues from that market segment would increase over time. Macronix is already selling into this market segment. NEI are selling and we do expect them to make their way in more nice numbers in 2007. Sony is expected to go into production this year as well, so we do expect to see some traction over there. NEC obviously are not yet in the market, given the fact that they've taken license just recently. But over time, yes, in 2007 as well we do expect the overall royalty from this market segment would go up as our licenses are making their way into this market segment. 
Operator: Our next question comes from Jeff Rosenberg, William Blair. 
Q - Jeff Rosenberg, William Blair: Kobi, good luck to you. I guess my first question is, Igal, you gave us the 30% of total licensing as royalties and that was very helpful. Could you perhaps give us some sort of a pro forma feel for when you strip out Qimonda from the Q4 numbers, how much that changes, that 30% number, as we think about things going forward? 
A - Igal Shany : I cannot give you the number for Q4, but I can tell you that obviously given the decision of Qimonda, the royalty number for them, even in 2006, went down QoverQ. 
Q - Jeff Rosenberg, William Blair: And when we look at the beginning of 2007, would that 30% number still be the right way to think about it? Or does the elimination of Qimonda change that significantly? 
A - Igal Shany : Basically we do believe that the royalty percentage as part of the licensing revenues would go up as licenses are making their way to the market. As I mentioned, we expect SMIC to go into production and therefore to stop seeing royalties from them. Spansion is obviously making very nice progress in both - in all of the agreements that we have with them. The first agreement, the second one, the profit sharing and now with the Quad, having the full products in their hands. Over time we do accept that the royalties goal-wise and percentage-wise would go up and this goes back also to 2007. 
Q - Jeff Rosenberg, William Blair: Okay. When we think about that progression, I mean sometimes you've had a situation as a customer transitions into the royalty paying phase that there's been a spare step down in their license payment as they enter production, and then we have to make it back up with royalty. Is there anything like that that's going on in the Q1 guidance, where as SMIC or Spansion with the Quad bit as they begin to enter royalty payments, we're seeing any decline in licenses that's more than offsetting that in the immediate term? 
A - Igal Shany : The real major effect in Q1 is really Qimonda. All the others are nothing that we should discuss on this call. The major effect in Q1 is Qimonda and the effect of no license fees and no service coming from them. 
Operator: Your next question is a follow up from Pranay Laharia, Deutsche Bank. 
Q - Pranay Laharia, Deutsche Bank: Igal, stock option expense for 4Q went up significantly QoverQ. Was that just end of the year bonus effect, or do you expect it to stay at these levels going forward? 
A - Igal Shany : Stock-based compensation went to around 1.6 - it was a step up of options we granted this quarter. Nothing special. 
Q - Pranay Laharia, Deutsche Bank: Do you expect that to stay at that level going forward? Or decline back to 1.1-ish million you were running prior to that? 
A - Igal Shany : I cannot give guidance on stock-based compensation because the calculation is not as simple as it used to be in the past. These are the ballpark numbers that we should be around. 
Q - Pranay Laharia, Deutsche Bank: Any chance you want to take a shot at full-year guidance at all on revenues? 
A - Igal Shany : No, not today. 
Operator: Thank you. At this time, there appears to be no further questions, I'd like to turn the floor back over to management for any closing remarks. 
A - Dr. Boaz Eitan: Okay, everyone, thank you for spending the time with us and we will talk to you next quarter. Bye bye. 
Operator: Thank you, that does conclude today's conference. You may now disconnect and have a wonderful day.